Operator: Good afternoon, everyone and welcome to the Red Robin Gourmet Burgers Incorporated Third Quarter 2019 Earnings Call. Please note that today's call is being recorded.During the course of this conference call management may make forward-looking statements about the Company's business, outlook and expectations. These forward-looking statements and all other statements that are not historical facts reflect the management's beliefs and predictions as of today and therefore are subject to risks and uncertainties, as described in the Safe Harbor discussion found in the company's SEC filings.During the call, the company will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles, but are intended to illustrate an alternative measure of the company's operating performance that may be useful.A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in the earnings release. The company has posted its fiscal third quarter 2019 earnings release and supplemental financial information related to the results on its website at www.redrobin.com in the Investor Relations section.Now, I would like to turn the call over to Red Robin's CEO, Paul Murphy.
Paul Murphy: Good afternoon and thank you for joining us today. I am honored to join Red Robin at this important inflection point in the company's transformation and to be here on my first earnings call alongside Lynn Schweinfurth our Chief Financial Officer; and Guy Constant, our Chief Operations Officer. Jonathan Muhtar, our Chief Concept Officer, is also with us today to participate during the question-and-answer period.Let me begin by recognizing Pattye Moore for her hard work and dedication to Red Robin over the past 12 years, as she will be retiring from the company at year-end. Pattye has served Red Robin in various capacities; first as a board member then as board chair and more recently as Interim CEO.During her tenure as Interim CEO, which began in April, Pattye and the executive team have effectively focused the organization on key priorities that are building business momentum, underscored by improving operating and guest satisfaction metrics that we can and will build upon further.I've been at Red Robin for almost five weeks now. Since joining, I've been busy immersing myself in every aspect of the business, so I can better understand our current challenges and opportunities, evaluate our progress to-date and prioritize what to accomplish in 2020 and beyond to drive results.In the course of my due diligence, I have visited several Red Robin restaurants, spoken with general managers, team members and our franchise partners and listened to their viewpoints and suggestions with an open mind. Not surprisingly, we came away from these interactions impressed by their passion, their level of caring and their desire to be part of a winning organization. These positive experiences have only reinforced my conviction in Red Robin and the future of this great brand.Strategically, there has been a lot of work done thus far; particularly as it relates to our most important priority; further strengthening and transforming the dine-in business. And as Guy and Lynn will address in greater detail shortly, we are continuing to gain traction in our turnaround efforts.After an in-depth review, the company has concluded, it will suspend the refranchising program. Based on our analysis, we believe the value creation opportunity to shareholders from refranchising will be much greater once the operating fundamentals in the business have been further strengthened and the support capabilities for franchising enhance.As we move towards these objectives, the company will monitor and reassess its opportunities and options in this regard. My role in the near-term is to leverage my turnaround experience and take Red Robin's current business to the next level, drive additional improvement and thereby enhance value for all stakeholders.Therefore, as I become more acclimated to Red Robin and develop a deeper and more nuanced understanding of the brand, I will work closely with the board, executive team and team members to fine-tune our strategy along with the specific initiatives that support our mission. I tend to develop and share a strategic vision and robust transformation plan that will serve as our roadmap, leveraging the building blocks already in place.Red Robin is an iconic American brand with tremendous potential and I am confident we can recapture our brand reputation for operational excellence and by extension the loyalty and frequency of our guests. These attributes are fundamental to growing sales improving our profitability and enhancing value in the long run.With that I'll turn the call over to Guy to review operations. Guy?
Guy Constant: Thank you, Paul and good afternoon everyone. As Paul outlined our most important priority is to continue to stabilize and further strengthen the dine-in business. Since the start of 2019, operations had leaned into four key areas of focus that we have emphasized with consistency and measured with enthusiasm. First is hire train and retain. As we have previously discussed improving a dine-in guest experience starts with hiring the right people, training them properly and being fully staffed; particularly at the general manager level.Our operations leadership and human resource teams continue to make real progress against these initiatives. At the outset of 2019, we were short over a hundred managers across the system. By the end of the third quarter, we were essentially fully staffed at the manager level and our manager turnover numbers are now at best in class levels for casual dining.Now with more fully staffed management teams, we are also able to reduce the churn of managers between locations and provide a better and more stable experience for our team members. The resulting benefit is apparent in the progress we have made in hourly turnover numbers, which improved again in the third quarter as they have throughout 2019 in sharp contrast, we continued deterioration in turnover and staffing metrics seen throughout the industry.Our hourly turnover numbers ended the third quarter better than causal dining industry averages once again and moved closer to best in class numbers. These important leading indicators have been critical to building the engagement of our team members; a key component of the sustained improvement in our operational execution and business performance.Next is manager front-of-house engagement. We know we can improve the overall guest experience, deliver better wait times, reduce walkaways improve our cleanliness and effectively identify and resolve potential problems by establishing a better presence of our managers on the dining room floor and by having managers at the host end during peak hours. This focus is working. Overall guest satisfaction which had declined throughout last year to a low point at the end of Q4 2018 has continued to improve throughout 2019, rising again to its highest level over three years at the end of the third quarter. This leading indicator is critical to leveraging the full service that differentiates causal dining from other segments of our industry and nurtures the engagement and loyalty of our guests.Next is managing the shoulders to peak to peaks. We continue to focus on shifting the labor investment from overstaffed shoulder hours to understaffed peak hours, allowing us to improve throughput on our busiest shifts thereby capturing the greater sales opportunity that is available during those times. Our continued focus on staffing has yielded improvement again in Q3 on guest ratings for our speed of service food temperature the execution of our bottomless promise and restaurant cleanliness. This area of focus is a key part of delivering a great guest experience while maintaining strong labor productivity. And in Q4, to support our fast growing off-premise channel, we'll be adding labor hours during our busiest shifts; a decision that will provide residual benefit to our dining experience as well.Finally, delivering on the promise of Maestro. This effort focuses our kitchen managers on the active coordination of the fast and accurate delivery of high-quality food at the optimal temperature. As to result, we've seen a sharp improvement in ticket times which in the third quarter were over 90 seconds faster than they were when we first rolled out the Maestro program early in 2018.In addition to the improving speed, we are concentrating our culinary focus on improving the consistency and quality of product such as our core menu products such as our gourmet burgers, chicken, buns and of course our signature Bottomless Steak Fries and we are emphasizing the reducing of complexity in our Heart of House; all of which have contributed to improved guest ratings for taste of food and pace of experience throughout 2019. This area of focus is crucial to recapturing gift of time promise that has historically differentiated Red Robin from our competitive set.The best long-term sustainable means to drive sales and rebuild our dine-in business is to hire and retain great managers, keep them in the same restaurant to provide consistent leadership, and create a great environment for our team members, and then these team members will in turn deliver that great experience for our guests, and will build future loyalty and frequency.We are thankful for the efforts of our operators and recognize their progress. While we know there's a great deal of work to do the initial pieces have been put in place and the leading indicators of manager staffing, hourly turnover, and guest satisfaction are all continuing to trend positively and not surprisingly, our business results are improving as well. We look forward to continued progress as we move forward.With that, I'll turn the call over to Lynn.
Lynn Schweinfurth: Thank you, Guy, and good afternoon everyone. As we turn around our performance and invest in the business we are encouraged by our improving sales trajectory. In the third quarter of 2019 comparable restaurant revenue increased 1.6%, marking the third consecutive quarter of improved trends. The Q3 improvement was driven by a 4.7% increase in average check, partially offset by a 3.1%, decline in guest traffic. Overall, pricing, net of discounts was 1.5% while the 3.2% mixed increase was driven by our menu and promotional strategy put in place this year resulting in lower tavern mix and higher Entrées and Finest mix.This July, we launched our new omni-channel creative campaign All the Fulls highlighting the emotional connection shared over a meal at Red Robin, and featuring our signature Bottomless Steak Fries. The new campaign received consumer scores that are among the highest recorded for our brand and well above industry benchmarks and importantly, had a significant positive impact on our traffic trend.We also rolled out our new all in one menu, which combines our everyday offerings with seasonal promotions highlighting, our new and differentiated gourmet burgers. Last year, we promoted five Tavern burgers at $6.99 on national television. Our shift in menu and promotional strategy, which now feature innovative burgers and highlight core brand entities without discounting on national media has positively impacted our mix in gross margin.Q3 total company revenue decreased 0.2% to $294.2 million, down $0.7 million from a year ago. Dine-in sales were down 2%, partially offset by off-premise sales growth. Off-premise sales growth continues to be meaningful and rose 37.3% in Q3 representing 13.2% of total food and beverage sales.Traffic and closed mall locations now representing 69 company restaurants continue to perform worse than the balance of the system by approximately 370 basis points consistent previous quarters.Q3 restaurant level operating margin was 16.1% down 70 basis points versus a year ago driven by the following factors. Cost of sales 23.8% was flat versus a year ago as higher commodity costs were primarily offset by lower tavern mix and benefits associated with menu simplification.We believe our cost of sales will improve in the fourth quarter compared to the third quarter, due in part to the benefit of favorable new contracts now in place. Restaurant labor costs of 36.2% were unfavorable 90 basis points versus a year ago, due primarily to higher average wage rates and higher manager staffing levels within the restaurant.Other operating costs increased 30 basis points to 15.3%, due primarily to third-party delivery commission, partially offset by decreases in utilities and other restaurant expenses.Occupancy costs decreased 60 basis points to 8.6%, due primarily to 13 net locations by close of third quarter 2018, partially offset by sales deleverage. General and administrative costs increased 80 basis points to 6.5% of total revenue, due primarily to interim CEO expenses and lower incentive-based costs in 2018, partially offset by decreases in professional services and travel.Selling expenses increases 190 basis points to 6% of total revenue, due primarily to an increase in national and local media spend to support our new creative campaign that launched in July. Pre-opening costs decreased $0.4 million, due to the suspension of restaurant opening.Net interest expense and other was $0.5 million lower versus the prior year, due primarily to a larger gain in our deferred compensation plan assets compared to the same period a year ago as well as the reduction in interest expense. Our weighted average interest rate was 5.1%. Our effective tax rate was 74.1% benefit. The change in the effective tax benefit was due primarily to lower income in the current year.During the quarter, we recognized net other gains of $1.8 million, which included the benefit of $3.9 million related to favorable lease termination associated with our closed restaurant, net of associated closure costs. These benefits were partially offset by $1.3 million in board and stockholder matter costs $0.6 million in executive transition and severance costs and $0.3 million in executive retention costs.Q3 adjusted EBITDA was $14.7 million as compared to $24.2 million in Q3 2018. And Q3 adjusted loss per diluted share was $0.24 as compared to adjusted earnings per diluted share of $0.16 in Q3 2018.Now turning to the balance sheet. We invested $11.9 million in CapEx in Q3, which was primarily related to facilities improvements, corporate and system costs and new investments in information technology. In October, we completed the rollout of handheld POS terminals that along with headsets and printers that generate labels that contain menu item details for off-premise orders or sticky media will enable our team members to deliver an even better guest experience.We ended the quarter with $20 million in cash and cash equivalence. Our lease adjusted leverage ratio was 4.55 times and we were in compliance with all debt covenant. During the quarter, we drew $7.5 million on our revolving credit facility resulting in a quarter and outstanding debt balance of $188 million in addition to letters of credit outstanding of $7.5 million.We also bought back approximately 28.9 thousand shares for a total of approximately $1 million. This is consistent with our previously stated goal of offsetting the dilutive effect of our equity compensation program over the course of four quarters, as we utilize cash flow primarily to reinvest in our business and to reduce debt while we return the business to sustainable growth.We have updated our guidance for 2019 as published in our earnings release this afternoon; taking into account year-to-date results and updated estimates. SG&A and CapEx expectations remain the same and we tightened our range of sales and related adjusted EBITDA. We currently anticipate a full-year tax benefit of approximately $11 million to $13 million and full year cash tax payments of between $3.5 million and $4 million.Consistent with what we indicated throughout the year, we continue to expect positive comparable restaurant revenues in the fourth quarter. It is important to note that we will be lapping significant prior year discounting in the fourth quarter of 2018, as we move into the fourth quarter of 2019, which we expect will negatively impact comparable guest traffic, but positively impact gross margin.We took 80 basis points in price at the beginning of the fourth quarter and anticipate we will deliver 180 basis points of gross price in the quarter. Lower year-over-year discounts will further positively impact PPA.Catering continues to be an important growing sales category with material long-term potential delivering 74% year-over-year growth in the third quarter. Our sales team is focused on among other things, driving business-to-business national accounts, supporting, recurring, catering occasions and refining our core catering menu including expanding our carbonated beverage brand.We continue to expect higher third-party delivery sales as we recently added a new service partner to the majority of our system. We are continuing to highlight outsourced delivery for orders placed by our guests directly with Red Robin allowing us to control the ordering experience retain order and guest history, leverage our royalty platform and lower costs associated with third-party delivery marketplaces.Turning to our real estate portfolio, we recently made the strategic decision to exit company operations in Canada due to a lack of integrated systems, near-term capital investment needs, thus standard financial performance and an operating footprint with inherent inefficiencies in marketing, supply chain, supervisory and corporate support. One restaurant has already been closed and five other restaurants in the Edmonton area will close in the coming weeks.We are currently in discussions with an experienced restaurant operator to acquire and franchise the remaining 12 restaurants in British Columbia with an anticipated closing by early 2020. Third quarter year-to-date, the Canada restaurants generated $31.6 million in restaurant revenues and $0.9 million in restaurant level operating profit.We continue to assess our real estate portfolio, work on a refined prototype for future development and focus on implementing profitable sales catalysts to generate consistent and growing financial results.So let me wrap up by thanking our Red Robin team in the restaurants and at the home office for their significant contribution towards the improvements we are seeing in our business as we invest in and build sustainable long-term foundation to create value for our shareholders.With that, I will turn the call back over to Paul.
Paul Murphy: Thank you, Lynn. Red Robin clearly is on the right path, strengthening operations, transforming the dine-in experience and significantly growing off-premise sales. I am encouraged by the brands ongoing traction; made possible by an exceptionally dedicated Red Robin team.And I believe, we are in the early stages of the turnaround process. I look forward to sharing with you more detailed thoughts on my strategic vision and action plan at the ICR Conference in January. And now with that, we'd be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from the line of Chris O'Cull from Stifel. Please proceed with your question.
Chris O'Cull: Thanks. Good afternoon guys. Paul, a couple of high level questions about how you're thinking the turnaround may play out over the next few years. I mean, do you envision or do you think there's going to be a need to make a lot of investments in the restaurant? And then secondly, are you thinking about additional unit closures or any other -- well mainly just closures as you execute the turnaround strategy?
Paul Murphy: Well I'll kind of answer that in two ways. First, you know as we look at the next two to three years, there will be some investments, but they'll be investments in initiatives that we believe, we'll be able to drive not only the top-line, but the bottom line results and then in a more impulsive way the regard for the brand.You know so many other investments will just be frankly around execution. We think that's one thing that the brand has been focused on the last six months; certainly starting to see some traction from that, but we have a lot of runway there; made some investments in terms of putting the handhelds and the servers hands and that will lead I think -- service model which should help us do the -- really help us on the execution level.In terms of store closures you know, I think that smart brands always are looking at their portfolio; always ascertaining what's the best use of the resources that they have and so we'll take a look at it. I'm not -- surely don't anticipate any wholesale closures going forward, but we'll be strategic in it and take a look over the next two or three years at any stores that we think are hurting the system or dragging it down.
Chris O'Cull: Thank you and then just there's been a -- Red Robin has benefited quite a bit from third-party delivery and off-premise sales. What's your view on how third-party delivery -- what kind of role it should play at Red Robin? Is there going to be more emphasis on it, less emphasis on it more on the in-store experience or the dine-in channel? Help us understand your view of how third-party delivery is going to play out for Red Robin?
Paul Murphy: Well I and I think I'd preface that with saying that to focus on dine-in that Guy and his team have had over this past few months you know we're going to maintain that. You know dine-in is still 85%, 86% of the business and we need to ensure that we keep advancing execution against that and keep improving that performance and I certainly believe over time that we can stop the erosion there and at least just be flat on the transaction side there.On the off-premise side that's where the guest seems to be going. Red Robin if you look on the catering side, we're doing a very nice job there. On the to-go people coming in ordering it's always been a strong part of the business.As we've entered into the third-party certainly it's been a bit of a driver. I think we still have a little bit of work to do in terms of how we're executing against that but you know I think third-party delivering is as much defensive as it is offensive because you want to make sure that people are always considering your brand when they're looking at a place to do business with. So we will continue along that line but work as other brands are doing to make sure that is more profitable of an occasion than it is now.
Chris O'Cull: Thanks, guys.
Operator: Our next question comes from the line of Alex Slagle from Jefferies. Please proceed with your question.
Alex Slagle: Thanks for the question. I know the company's been working on some deeper consumer insights work in recent months and just wondering if you're sort of happy with the results or you know, is there more that you want to explore and understanding the guests needs and if there's any initial results you can share with us?
Jonathan Muhtar: This is Jonathan, yeah I'll take that one. We are pleased with the progress there. It is an ongoing project that we don't yet have results to share out with you on but with Paul joining the organization, we've engaged with him and he's going to be really involved in this work as well and to say for now that we're pleased with the start we've gotten there and we're diving in deeper.We're also as we mentioned on previous calls enhancing our capabilities to mine guest data and to access guest data through upgrading our loyalty program. With enhanced capabilities and the deeper insights that we're currently gathering we'll be able to give you an update on the next call.
Paul Murphy: Alex, this is Paul. You know what I really like that they have that's been done here at Red Robin is the addition of consumer insights, team into the brand, coupled with business insights, so I'm happy with the work that's being done against the consumer side of the business and what are the insights that the brand can use to really focus the things that we're doing, focus the things that we know will drive the business and drive the regard for Red Robin among the consumer base, and frankly remove the obstacles that they are seeing maybe obstacles of them using the brand; so I think we're on the right track with that. I was pleasantly surprised that it was already underway and I look forward to really produce some great results that are going to help us to be able to move forward as we enter into 2020.
Alex Slagle: Thanks, that's helpful. And then on the new creative campaign in additional media spend it seems like that was successful in driving the top line momentum and if you could talk to the degree you expect to explore; continuing elevated marketing spend in the near-term and if you think that's worth it?
Jonathan Muhtar: Yeah, this is Jonathan, again. Yeah, we were very pleased with the launch of the new campaign. The response from our guests was quite positive in multiple forms of research that we polled our guests on. We really as we talked about on the last call were -- developed that campaign through consumer insights seeking to establish that emotional connection with our guests that our brand has traditionally won on and represented with our guests and what our guests really know and love about Red Robin and everything that we've seen thus far indicates that the campaign is delivering on that.
Paul Murphy: Alex, this is Paul again. We're not tag-teaming, but you know -- in the first couple of weeks when I made phone calls to the members of the franchise committee that are on the franchise advisory board, one thing that I thought was amazing is that to a person they all said that they were behind the new advertising campaign, they thought it was recapturing the sole of Red Robin. And as you know, the franchisees can be highly critical of any advertising that we're doing and add them to a person say, hey, this is who Red Robin is not only are we moving forward, but we're reestablishing the connective tissue to the core of Red Robin user. I thought that was a huge testimonial by some people who are generally in their own kind of glass half full about advertising.
Alex Slagle: Great. Thank you for that.
Operator: Our next question comes from the line of Gregory Francfort of Bank of America. Please proceed with your question.
Gregory Francfort: Hey, thanks for the question. My first question is maybe just on advertising on a go-forward basis, and if we should think of that steps back down in kind of the mid-four range or if you know given kind of what you're seeing on the spend that you put in the third quarter and the response on the traffic side if that's going to stay at an elevated level? Then I had a couple of other questions. Thanks.
Lynn Schweinfurth: Yeah, I'll start and the team can jump in. Right now you know what we did during the current year is we did allocate some of our marketing expenses more so to the third quarter, while we launched the new creative campaign. We will continue that campaign certainly into this quarter and beyond. I believe our expenses for this quarter will be a little bit less compared to last year and we are in the process of finalizing our 2020 plan, but there could be a continuation of some increases in selling expenses so that we can fully support all the channels of profitable sales growth that we're trying to garner in the coming year.
Gregory Francfort: Okay. That's really helpful. Thank you. And then just two other questions I had one was, where you stand in terms of rent renegotiations, I think -- I know that's been an effort for the brand for at least the recent past? And then the other question was just what are you seeing on the turnover side, if you can give any more clarity and kind of -- it seems like a few of the casual dining chains have talked about maybe a little bit better labor environment than in the past, and I guess I'm wondering what you guys are seeing out there in terms of hiring and how specific that is to Red Robin? Thanks.
Guy Constant: Hey, Greg, this is Guy. On the rent renegotiation side you know, obviously, we view every lease renewal as a rent renegotiation opportunity. So we continue to lean into that and address that as it comes along. And we were as you know, able to address some of the sites through closure earlier in the year that had high rent as a percent of sales that allowed us to make some of the progress that you've seen in this quarter on the occupancy costs.In terms of turnover, we continue to see pretty strong progress on our turnover metrics. That's really continued since the start of 2019. We've made -- we look better versus industry metrics on the managers side, because that's where we paid most of our attention first, and now we're starting to see the benefit on the hourly turnover side that we thought would follow-on as we add more stability at the general manager level and become more fully staffed, we believe we've got a better environment and a more engaged hourly team member group, which is resulting in continued declines in turnover, which we like and we expect to continue.
Gregory Francfort: Thanks for the perspective. Appreciate it.
Operator: Our next question comes from the line of John Glass of Morgan Stanley. Please proceed with your question.
John Glass: Thanks. First, can you talk a little bit about the Tavern double, it's percentage menu mix this quarter and maybe just more philosophically, I think it ran a bit hot in the past and that sort of hurt mix and now you're benefiting from it maybe not being as important. So, I don't know what the balance is, so maybe talk about this quarter, specifically. I don't know if Paul or Guy or someone has thoughts about how you think about that going forward.
Lynn Schweinfurth: I'll start John, just in terms of what the mix was for the quarter. We did see Tavern burger mix at 9%, which is certainly below some of the levels we saw through last year. I think that peaked at 17% at some point last year. And let me just ask my colleagues here if they want to address.
Jonathan Muhtar: This is Jonathan. I'll chime in. Yeah, we -- to your question on how we see progressing and what we're managing toward, we believe the Tavern is still an important item on our menu as guests seek value in different ways across our menu. But we're really pleased with the balance that we have across our burger categories currently. Our Finest is at its highest ever here in the third quarter continuing on.And so, we're pleased with the new menu introduction we had in the third quarter, the increase of sales of our finest mix and the sustaining of our year-over-year reduction in Tavern. So, we see it likely going forward with Tavern maybe reducing a little bit more, but staying pretty close to the mix that we currently have across our burger portfolio.
John Glass: Thank you. And then just on labor, you said, you're moving back and fully staffed on the -- I think you said it was on the manager level, when I just look at labor dollars per store, it was down a lot last year, particularly in the third and fourth quarters. It's now running like 5% up year-on-year again simple calculation. Is that the way we should think about it now? You don't want to -- you've got some inflation, you certainly don't want to reduce any head count now, right? So is it the best way to think about labor is kind of it's going to run at, I don't know, low to mid-single digits from here on in at least for the near-term?
Guy Constant: Yeah, John. What you’re seeing on the labor side now is our productivity was flat year-over-year, so what we’re seeing on the labor cost right now has more to do with the wage rate growth and the fact that we’re more fully staffed at the Manager level than we’re a year ago. We would expect next year to be fully staffed at the Manager level again, so you wouldn't see the same sort of growth in that piece. So, now you're really just talking about the wage rate growth impact.
Lynn Schweinfurth: Yeah, which we think directionally will --
John Glass: I'm sorry, you dropped out, but what is wage growth or hourly wage growth rates now?
Lynn Schweinfurth: Right now our average wage rates have inflation of about 5% for the quarter, and so we think that will continue for the time being.
John Glass: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Will Slabaugh of Stephens Inc. Please proceed with your question.
Will Slabaugh: Yeah. Thank you. I had a question on sales momentum. You mentioned, on the last call, I believe in the quarter-to-date period, you were running around flattish. And so the numbers imply a nice ramp into the quarter.What do you most attribute that to, whether it be the implementation of the new marketing campaign or comparisons or something else that maybe we haven't discussed, as in depth?
Lynn Schweinfurth: I think it's a combination. And I've got our Chief Concept Officer and Chief Operating Officer here with me today. And obviously, I think, efforts around the new creative campaign really did see sequential influence when we did our analysis of the effectiveness of the campaign, at least in the initial window. As well as the consumer testing we did in advance of the implementation that we touched on.And then, Guy certainly offered up some of the ongoing improvements, we've seen on the execution side. So we certainly hope if we're inviting guests back into our restaurants, they're coming in they're having a great experience. And they will increase their frequency and affinity accordingly.
Paul Murphy: Yeah Will, this is Paul. I really think it is a combination of things. Of course if you ask the marketing guys, it's always going to be marketing. But if you ask office guys -- but it really is it's taken a holistic approach and making sure that, as we invite people in to experience Red Robin, that they get a really strong experience.And that we give them the Red Robin brand promise. And continuing to make really I think nice strides in our operational execution and from my standpoint, I think that the messaging and the creative campaign was right on point.It was not just about price, it was about really the -- I think that we recaptured the soul of the Red Robin brand in the messaging through the Fulls campaign. And I think that resonated with people and they came in. And the experience is beginning to match what they expect. And pretty soon it's certainly our intent that the experience goes above and beyond. And we're exceeding their expectations. And at that point people become very loyal Red Robin nice again. I don't know if that's even a word but…
Will Slabaugh: Thanks for that. And just a quick follow-up if I could, Lynn on a comment that you made around cost of sales. Can you talk a little more about the contract benefits that you expect to receive? Or at least what type of impact we should expect to see from those?
Lynn Schweinfurth: I guess I'd like to shy away from quarterly guidance and cost of sales. But I did want to indicate that, we do believe our trends in the fourth quarter will improve against the third quarter because of the new contracts that we've been able to put in place?
Will Slabaugh: Okay. Thank you.
Operator: Your next question comes from the line of Jeff Farmer of Gordon Haskett. Please proceed with your question.
Jeff Farmer: Thank you. On the loyalty program, how have you leveraged that membership date in recent quarters? And, how do you plan to sort of do things differently in 2020, with all of that data you have?
Jonathan Muhtar: Hi, Jeff, this is Jonathan. So, first of all, a lot of the insights that we share with you that guide our actions across the business, to improve our results, and to set our strategy are driven through what we gather through our loyalty program. So, that is definitely how it has and currently played a role in campaign development. It plays a role in all of our initiatives.As we upgrade the program, we're already starting to get some of the benefits of the upgrades of the technology through enhanced segmentation. That has just begun and what that really does is allows us to personalize offers eventually getting more down to a one-on-one -- one-to-one communication with our guests, understanding their behaviors, and really fulfilling their needs rather than blanket -- blanketing them with offers that go out to a million guests at a time. So, we really see a lot of potential there to get closer to our guests, understand their specific needs, and tailor our services and products to them accordingly.
Jeff Farmer: That's helpful. And then are there any stats that you can share on visit frequency from these loyalty members versus some of the non-loyalty members?
Jonathan Muhtar: Yeah, I'll share at a high level that our loyalty program drives significant number of incremental visits per year versus guests that are not members of our loyalty program and that although or last year our traffic has been challenged both groups have visited less frequency.The loyalty program has enabled us to sustain a much closer frequency year-over-year than for our non-loyalty guests and so it really has played a role in helping us through what has been a bit of a tougher period for comps and now as we are starting the early innings of our turnaround, we see it just leading the way forward as both groups -- as we aim to increase frequency across both groups.
Jeff Farmer: All right and then just last question I apologize if I missed this, but the last earnings release you did provide same-store sales through the first four weeks of the 3Q did you share why it looks like you choose not to share the first four weeks of the 4Q with this release?
Lynn Schweinfurth: Yeah, I think a couple of things; one is certainly we wanted to show an improvement in our trends and I think with the results of the third quarter, we have shown that continued trajectory.The second point is in the fourth quarter compared to last year, there are many nuances associated with the individual period. So, what I did in lieu of sharing the current period is I wanted to give you a better impression as to the quarter and what we did affirm today is that we are expecting you know positive sales growth for the current quarter.
Jeff Farmer: Okay. Thank you.
Operator: Our next question comes from the line of Brian Vaccaro of Raymond James. Please proceed with your question.
Brian Vaccaro: Thanks and good evening. Just wanted to circle back to the advertising spend and I believe there are differences in what you book each quarter with what's deployed into the market and could you clarify sort of year-on-year comparisons on weight or spend in the third quarter versus prior year and just what your expectation is in the fourth quarter in terms of actual dollars working into the market?
Lynn Schweinfurth: What I will indicate and we certainly confirmed this in our filings today, we did spend more in national and local media in the third quarter compared to the prior year. We also had some additional project costs that did impact our results in the third quarter.I believe in terms of the spend for the fourth quarter, we are spending a little bit less in terms of overall selling expenses and that also pertains to national and local media investment.
Brian Vaccaro: Okay, that's helpful. And moving to the off-premise sales, I think you said it was a little over 13% in the quarter. What was the contribution of third-party delivery within that mix and could you also speak to the growth and delivery in the, I think it was 330 units or so that have had that in place versus the last 12 to 18 -- over the last 12 to 18 months? Are you seeing organic growth into year two in those units?
Lynn Schweinfurth: Yeah. So right now delivery represents 5.4% of our food and beverage sale. And we have seen incremental sales in the second year when we've rolled out our third-party delivery initiative.
Brian Vaccaro: Okay. And then last one, could you just give an update also on what you saw in mall versus non-mall same-store sales performance in the quarter?
Lynn Schweinfurth: Yes, they continued to be worse by 300 first -- actually let me start with sales, 260 basis points worse in sales. Now that's been fairly consistent throughout the current year.
Brian Vaccaro: Okay. Thank you.
Operator: Our next question comes from the line of Gregory Francfort of Bank of America. Please proceed with your question.
Gregory Francfort: Hey, thanks I just had two quick follow-ups. One, I may have missed it, but can you give what commodity inflation was in the quarter -- in the third quarter? And then a separate question, maybe just in terms of how you're thinking about the debt leverage going forward and when – yeah, I know you guys did the renegotiation to give yourself some flexibility on the leverage portion or the leveraged piece in the next maybe three months, but as you think about the maturity and maybe extending the maturity going forward, I think it rolls off in 2021. Can you talk about how those negotiations have gone and how you're thinking about leverage overall for the business? Thanks.
Lynn Schweinfurth: Yeah absolutely. So starting with commodity inflation for the current quarter, we are seeing low single digit inflation; however, we are seeing some positive impacts associated with the Tavern mix being favorable as well as our menu simplification initiative. which is improving our cost of sales and also management of waste at the restaurant level.In terms of our credit stability, yes, you've go the maturity date correct. In the middle part of 2020, our current facility does mature. We have begun to speak to our lenders about a new facility that we will likely put in place early to mid next year. And in terms of debt right now I think the company continues to utilize excess cash flow not only for investments back into the business, but to really lower the leverage to a greater excess. We think, we should lower our leverage.
Gregory Francfort: Helpful. Thank you very much.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to management for any closing remarks.
Paul Murphy: Obviously thanks everybody for joining us today and we look forward to speaking to you in the next call. Have a good day.
Lynn Schweinfurth: Good bye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.